Trevor Brucato: Welcome investors, analysts, and other stakeholders to Comstock's 2024 annual results and business update. This is Trevor Brucato with RB Milestone Group, Comstock's US-based investor relations firm. Comstock is listed on the NYSE American under the symbol LODE, and I am pleased to have with me the company's Chief Executive Officer and Executive Chair, Corrado De Gasperis, and Chief Operating Officer, William McCarthy. I would like to first thank those who submitted questions during registration. Most of those will be addressed in management's prepared remarks. If you have any new questions throughout the presentation, please submit them in the Q&A module, and we will do the best we can to get to all of them. Today's presentation may contain forward-looking statements that are subject to risks and uncertainties that may be out of Comstock's control and should not be construed as a recommendation or solicitation to buy or sell any security. For the company's full disclaimer, please visit comstock.inc. Also, RB Milestone is not a registered investment adviser or broker-dealer. For more information on us, please visit rbmilestone.com. Lastly, this presentation is being recorded today, March 6, 2025, and will be made available on the company's website at comstock.inc shortly after today's event. And now it is my pleasure to turn it over to Comstock's Executive Chair and CEO, Corrado De Gasperis. Corrado, the stage is yours.
Corrado De Gasperis: Thanks, Trevor, and hello all, and welcome to Comstock's 2024 annual update. I have no doubt that in the very near future, when we look back on our achievements from last year, 2024 will have marked the turning point of almost everything we are doing and certainly so in metals and fuels. As of today, both companies have achieved their previously published objectives for 2024, and let me recap it for Comstock Metals first. Where Fortunato and the team have advanced our solar cycle recycling technology all the way through TRL 7, and it is now fully operating. This facility was designed, deployed, and commissioned just under a year ago and quickly ramped up with a now dedicated team of thirteen full-time employees. The plan has proven it can recover 100% of all the metal, glass, and minerals, especially the silver-rich tailings. This has not only created a tremendous competitive advantage by enabling us to offer a zero landfill solution to our customers, but it also increases our revenues beyond the tipping fees by almost 50%. We are very conservative in that notion of offtake until we knew we could produce those products cleanly, completely. So now we are rapidly expanding our existing customer base with industry leaders, that hopefully will soon be able to disclose who they are to you. Adding to that, in 2024, the team also finalized the design and site selection for our first industry-scale facility and submitted the Nevada County and state permits for approvals. We already received the county permit, which allows us to efficiently store panels, and this means that the state permitting wait times do not meaningfully slow down our ability to secure and receive orders from our customers. Although our largest customers are in the Southwest United States region, in 2024, not only did we secure customers throughout the southwest region, we also won business far beyond, including securing and receiving panels from Florida, Pennsylvania, New Jersey, and even Alberta, Canada, just to name a few. And just to be crystal clear, we are now receiving panels at the facility every single week. In 2024, we also secured offtake revenue arrangements for all of those clean product lines. That is the aluminum scraps, the glass pearls, and those silver-rich tailings. Our 2024 metal segment performance was right where we hoped it would be, and we are now realizing and positioning for all types of exceptional revenue growth in 2025, the intake revenue, the offtake revenue, and even decommissioning services. Well before we commission, excuse me, well before we commissioned the larger facility. I will talk more about that after Billy's review of the financials. But suffice to say now that we have a legitimate view of our engineering and operating what is effectively a world-class silver mine. One that uses solar panel waste as its feedstock ores. And one that effectively never depletes. Let me turn to Comstock Fuels. Many of you have already acknowledged in speaking to me that you realized in 2024 that fuels has become something far greater or was becoming something far greater than what most people expected, understood, or frankly even conceived was possible. Those conversations bring me joy because we have always talked about our systemic notion and it means a lot of things, profound things. But we were building something that was always intended to expand beyond the legal borders of the actual company, the actual legal entity. And I have to take a deep breath before I run through 2024 on fuels with you because we did a lot. During 2024, our teams have integrated critical technologies. They integrated critical partners and even geographies into a truly new and unprecedented biolum enterprise. And what I am about to explain really tells us why. Because we first assembled our system from a foundation of new lignocellulosic IP that was developed in large part and consolidated further by our team. And then by identifying, aligning, securing, and integrating an expansive portfolio of the world's leading intellectual properties. As well as the world's leading intellects. You know, the scientists, the engineers, the technologies, and the people, and their teams. Who together so far have executed exclusive and near-exclusive agreements that either dramatically derisk or push our already industry-leading yields of 125 gasoline gallon equivalents per ton of dry wood all the way up to 140 gasoline gallon equivalent tons per ton of dry, I am sorry, gasoline gallon equivalent per ton of dry wood. Which is easily double our next competitor. Nobody is taking waste wood, woody biomass, the most abundant feedstock on the planet Earth, and unleashing that carbon to this magnitude in liquid fuels. Nobody. We secured the lowest cost and most abundant feedstock. We secured the highest leading and yielding processes, certainly the lowest or some of the lowest carbon impact or CI scores, which means highest revenue while lining up strategic capital, strategic offtake, and what is turning out to be very tactical and strategic, which is jurisdictional grants and supports from states like Oklahoma and Wisconsin and others now lining up, you know, to commit to us. But it does not stop there. The team also executed international licenses for engineering services, for process technology, and equity agreements for already five biolum refineries, including Australia, Vietnam, and Pakistan. With New Zealand and Malaysia right on their heels, right in their crosshairs. And in addition to inventing, integrating, and now deploying that platform globally, now deploying that platform globally. The team has secured $3 million in incentive awards from Oklahoma's quick action closing fund. And they already earned the first million by committing to Oklahoma as our headquarters. We have also completed preliminary engineering now. Our chief engineer has been working his butt off. We have completed the engineering for our first commercial demonstration facility. And we are very, very close to picking the first site in Oklahoma, which will then earn us a second million dollars from that Oklahoma grant. Remarkably, our team also has secured a $152 million allocation of qualified private activity bonds from Oklahoma state treasurer. This tax-free bond allocation is a huge, very huge, and very rare allocation. And that is something that is done lightly. The state only gets a certain amount allocated to them to then turn around and allocate to the opportunities that they want to be active in their state, but our guys got it. Together, our team and Marathon Petroleum's team, working tirelessly, I can tell you, for the last six, seven, eight weeks, also closed on the first tranche of our strategic series A investment. With both a cash component million dollars, and the contribution of Marathon's state-of-the-art renewable fuel demonstration facility in Madison, Wisconsin, which we valued at $13 million with them. That we believe will soon integrate with our Warsaw Wisconsin capacity to create a fully integrated pilot system that goes from validating testing and receiving feedstocks in Wollongong to producing barrels of oil and fuel up to two barrels a day in Madison. This enables us to obtain ASTM product approvals, EPA pathway approvals, and even product sales. It will massively shorten the lead times to sales for our Oklahoma facility as product approvals would be accelerated. But probably the largest value that seems to be misunderstood regarding this world-class facility is that it would have taken us years if we could have even done it, it would have taken us years to establish a facility like this. And I want to tell you, that we have tried on a number of occasions to plan and solve for how do we get Wausau producing this kind of oil, this kind of fuel, two barrels a day, how do we do it? And the answer was it was not possible in that facility. When I walk into the Madison facility, I think it is ridiculous that we even tried to do it, you know, in the Wausau facility. It is so much more expansive and involved. If we had to build those things ourselves, even if we were fully funded on day one, we would not have been able to do it. It would have taken years. And now we have it today. I mean, we have it today. I mean, I will be working there all next week. These last two accomplishments cannot be understated. Marathon has not only agreed to invest in Comstock Fuels, not only agreed to collaborate on biofuel technology by committing to a joint product development agreement with us and agreeing to offtake for our first facility, but they also capped our fuels valuation for this part of the transaction with them at $700 million. The agreement reads and accurately represents that value as a cap for them, but you all need to understand, but to me, it represents the floor for everyone else. Because you can be damn sure that Marathon, after two years of incredibly hard and good work, often being pretty patient with us, frankly, and culminating in these four landmark transactions, is going to get a discount from us at $700 million. Not on $700 million, at $700 million. So Marathon's $14 million investment at $700 million is 2% of Comstock Fuels. We are very, very proud of that. And both parties are going to be very, very happy with that. We plan on finishing the fuel series A during the second quarter. And then we will be in a whole different state of reality as a company. We have truly created an unprecedented, extremely high-yielding, extremely low carbon, and in many scenarios, especially with hexes on board, carbon-negative sustainable global biofuel system. That now includes owning this fully integrated product, pilot that can produce oils and fuels, and more importantly, the system is designed to scale. In every way, it is designed to scale. In the abundance and availability of feedstock, in the engineering of the refineries, in the modular scalability in the refineries, in the licensing and deployment with partners, enabling us to effectively create endless oil wells. Until now were seemingly hidden in plain sight. I do not think anybody other than maybe, you know, a handful of our people who spend twenty hours a day just thinking about nothing but the system appreciates what is about to happen with it. Just quickly with mining. We partially monetized the northern district claims with nearly $3 million in cash. Those $3 million cash proceeds, which we have already received, from leasing those northern claims midway through 2023, through the sale when we have got another million that was put down towards a nearly $3 million sales price, will result in end up in us monetizing these, let's call them nonproducing, nonproductive assets for $6 million. These are claims to the North that we never and still have no plans, I do not think would ever have any plans, frankly, or developing. During 2024, though, we did update our preliminary mine reclamation plan for the Dayton using $2,300 gold. The cash flows are robust. The net cash flows over a six-year period from this one resource is nearly a quarter of a billion dollars. Gold is well over $2,900 today. That easily adds another $120 million to that cash flow model if we did not change the cutoff. If you raise the price, you are going to lower the cutoff. Even if we did not lower the cutoff, meaning no additional ounces, we would still get another $120 million added to the cash flow. And our intention is to monetize these assets in a manner that unlocks the most value. That could be a sale. It could be a joint venture. We could put them into production. As far as we are concerned, we have every option on the table. The mining segment covers its own costs. We have a free option on gold and silver. We could not be more bullish about those metals. The spin-off could also bring maximum attention back onto the metals and the precious metals in our portfolio, understanding that Comstock Inc. not saying we are changing the name. Do not jump ahead. Comstock Inc. effectively is Comstock Metals with the spin. Just like I said in my shareholder letter in January, we end up with a Nevada-based metals and mining company. And an Oklahoma-based fuel company. So I want I did not mean to confuse people. I know that there are some details that were still missing, try to fill in as many of the gaps as we can today. But what I want to do is turn it over to William McCarthy to walk us through our financial progress, you know, during Q4 and the year. Put a lot of stuff behind us in 2024. Got a lot of things that compromised in 2025. We will give a little bit of financial expectation for 2025 as well. Then he will turn it back to me to talk about the outlook for the businesses for the rest of the way. Hi, Scott. Hold on. Sorry about that. So thanks, Corrado. I am glad to be here to share a financial update.
William McCarthy: And talk some more about how we are positioning for the year ahead with regards to capital. All the 2024 results discussed here can be found in today's Form 10-K filing, which you can find on our website comstock.inc/investors. On February 24th, we effected a one-for-ten reverse split of the LODE common stock. As reported on our 10-K filing, there are currently 24,238,453 shares outstanding with 245 million shares authorized. We want to say thank you to all the shareholders for the overwhelming support in approving this is critical to our ability to go fast building more sustainable value in 2025 and beyond. Our revenues grew in 2024 to $3 million from $1.3 million in 2023. $401,000 of that increase related to operations of our solar panel recycling facility, which was commissioned in the first half of 2024, and our decommissioning services business would start to hit stride at the end of Q3. At year-end, there was an additional $152,000 in deferred revenue. Where we billed and received the cash for solar panel recycling, but we have not fully met the accounting requirements for recognizing the revenue. Company-wide, we reported an overall net loss of $53 million or $3.21 per share for the full year. There were several nonrecurring one-time items reflected in this performance. Which include a $12.2 million reclassification of contributions made to GenMat which were reclassed from investment to R&D expense. Now the fact is the research and development we did with GenMat over the past several years has strengthened our conviction that generative AI will prove a game-changing innovation driver for material science, with direct applications to our commercial businesses, including Comstock Fuels and Comstock Metals. We are continuing our R&D efforts with a small internal team standing on the shoulders of the work we did with GenMat, and continuing to expand on the potential for our investments. We are confident that there will be a payoff for these efforts in the future possibly through contributions to our existing businesses, but also potentially the development of one or more new commercial opportunities. There was an $8.7 million write-down of intangible
Corrado De Gasperis: assets.
William McCarthy: Related to previous work we did on a battery recycling system. The system was developed in 2021 and 2022, prior to our pivot to solar panel recycling and silver extraction. We maintain that system as a hedge to our developments, we believe the new system was far superior and last year, we proved that with the commercial success of the demonstration facility. When it became clear just how much better our current system operates, it did not make sense to continue carrying the old technology any longer. Was a $711,000 unrealized loss related to Green Lion. We update our carrying values based on other transactions that Green Lion does, which are beyond our control. We monitor this position very closely. And while we have high expectations for the Green Lion team, this exposure is not core to our plans currently, we continue actively soliciting buyers for our position. On the positive side, that an $804,000 gain from the sale of mining assets on the Northern Comstock. When we break it down by segment, Comstock Fuels reported a net loss of $5.3 million down from a $7.1 million loss in 2023 on reduced R&D expenses. Comstock Metals reported a net loss of $3 million. Excluding that adjustment to intangible assets that I mentioned before, compared to a $1.9 million loss in 2023. This is from increased operating costs at the demonstration facility and development costs for our planned scale-up. Comstock Mining reported net income of $1.6 million improving on a $500,000 loss in 2023. Driven by increased lease revenue, and the $804,000 gain from the sale of the Northern Comstock. Overall, we ended the year with $1 million in cash. After spending $13.9 million for operating activities, a $317,000 increase from the prior year, and $6.5 million for investing activities compared to a $3.6 million proceeds from investments in 2023. Cash from financing activities provided $17.6 million in 2024. Primarily from the issuance of common stock and debt instruments convertible into common stock. This is up from $11.3 million raised in 2023. Subsequent to year-end, on January 10th, 2025, we sold a convertible note receiving $5 million of proceeds on January 13th, with an additional $5 million in proceeds coming next week. This transaction stabilizes our cash position for the short term we continue to advance our plans forward, a few key takeaways to highlight. We have been extremely diligent when it comes to managing our expenses. You can see we have significantly expanded our team and our capabilities this year, with only a small $317,000 increase in our operating spend. This is not luck. It requires an organization-wide commitment to doing only the most important things necessary to achieve our goals. We have been talking about subsidiary and project-level financing for a long time. We have told you we believe this will lead to accelerated value recognition. Our recent news on the investment into Comstock Fuels by Marathon Petroleum, the planned series A funding round, should give a better, more clear understanding about what we mean. This is the way forward. None of it would be possible without the significant and sustained technical and operational progress our teams have made. We have set an incredible foundation for the next phase of growth. So as we look to 2025, we continue to remain focused on the sale of non-core assets. We are actively engaged with markets to that end. Our expectations on the non-mining real estate and water rights portfolio have not changed. We see $50 million of proceeds coming to Comstock and we believe we will have a final deal in place this year. And that is separate from our investments in the Silver Springs Opportunity Fund, where we see even more significant upside in the coming years. On Green Lion, we believe our position is worth $20 million. Now you have to consider that Green Lion is a private company we are limited on what info we can share. They do not really get a lot of press coverage. But let me say, I do not know of another battery recycler actually producing and selling cathode materials connecting a fully domestic supply chain and I think they are extremely well positioned for the current moment and people are starting to take notice. On fuels, the completion of the A round finance will ensure sufficient runway for fuels to continue to grow developed highly valuable commercial projects in the US and across the world. While reducing the cash demands on Comstock. Comstock will continue to support and invest in Comstock Fuels during this process until that funding is complete. Nothing is slowing down. We are continuing to speed up. At Metals, Corrado mentioned, we expect billings to continue growing to over $2.5 million for the full year 2025, from continued operations at the existing facility, and our related services. We expect to hit breakeven by the end of 2026. After the commissioning and operation of the first industry-scale facility, which will invest $6 million of CapEx into this year. We have seen robust demand in the market to start the year, which should translate into larger commitments from larger customers through the rest of 2025, in advance of the new facility coming online. And in mining, we intend to invest $1 to $2 million in 2025 to begin the upgrade and expansion of our existing Dayton consolidated resource, with the intermediate target of defining proven and probable reserves. We believe the ROI on this investment will be significant and ultimately lead to a production-ready project. So in addition to using this subsidiary and project-level funding, wherever it is available, we are going to continue to fund Comstock Inc. through the sale of equity and debt securities in 2025.
Corrado De Gasperis: The progress
William McCarthy: the announcements we have made over recent months have made a meaningful difference in the availability of capital and the approved terms being offered to us. We are currently evaluating multiple options both with bankers and directly sourced investors to ensure sufficient capital to meet all these plans this year, and ensure our businesses each have a path to profitability. I know some people do not share this point of view with us. But we see equity capital as the most efficient tool to build and grow shareholder value at this stage of a business's life. Additional equity capital buys growth. It makes the pie bigger for everyone. To me, it is a fundamental concept. I would much rather own 1% of a $700 million plus company versus owning 2 or 3% of a $70 million company. In reality, there is no scenario where we get to $700 million in fuels, $300 million in metals or over a billion dollars across this whole enterprise. Without injecting more growth capital this year. When we complete this, and we are going to do it as efficiently as possible, we believe the market will respond accordingly. So in summary, 2024 the events of the last two months have laid the groundwork to stabilize and significantly improve our financial position in 2025 both at the corporate level and the subsidiary levels, allowing us to establish the necessary runway to build momentum through 2025 and beyond. We are well positioned to raise the capital we need to hit plan this year and move towards significant revenue growth in 2026. With that, I am going to hand back to Corrado to talk about what is ahead.
Corrado De Gasperis: Thanks, Billy. So outstanding. So I am going to wrap up the last segment before we go to questions. With the business outlook for 2025, maybe a little bit 2026. All of our 2025 outlook objectives, by the way, are also detailed in the 10-K that we just filed. Which, by the way, we also finalized the audit. By the way, we got a clean opinion. You can all see that now. You know, with the on the EDGAR. But let me start with metals. So Comstock Metals has now been operating its first commercial demonstration facility for nearly a full year. We validated all critical parameters intake revenues, tipping fees, intake revenues or tipping fees as many people call them. Are slightly above expectation. That is thrilling to me because I was worried two, three years ago about what that was all about. At over $500 a ton. Offtake revenues, which we initially planned for nearly zero. Are remarkably positive at $250 a ton. Primarily because we were able to produce 100% of the materials for reuse and resale. And we continue to experience strong silver concentrations in these tailings. So it is silver-rich tailings. Silver grades would make any Comstock miner proud. I mean, they are big numbers. So costs are looking great too. At about $200 a ton all in. When you think about a 75% you could push 80%. You know, operating margin is an extraordinarily good place to start. But our success in this business starts with speed. A panel every seven seconds. That enables scale 3.3 million panels per year from one line. That translates to 100,000 tons per year. And then the last variable speed scale, location. Our first facilities are wonderfully located in Silver Springs, Nevada. Which is one truck day away from eight different states and importantly, in the immediate proximity of California and Arizona. We are with Nevada most of the country's end-of-life panels reside today. We will scale this up now in two phases. And spend $6 million this year with our plus our permits so that we have our first large-scale facility up and running in 2026. It is mind-boggling that you could be breakeven or cash positive in a facility that is only doing, like, a thousand tons. Or two thousand tons. It is the nature of this business model. Very, very low variable costs. Very, very fast throughput processing speed. Very low CapEx. So $6 million this year starts us at 50,000 tons, and we can double that capacity quickly, efficiently. As soon as we are capturing enough of the market for that existing capacity, 50,000 tons, and the numbers are ramping up fast, then we will expand it. And I can tell you that we are off to a very, very good start. Last year, our first year of commissioning, we billed over half a million in total revenue just right out of the shoot. It is all demonstration scale, a lot of trials, a lot of different types of panels. But the outlook for this year, as Billy is just saying, is five times larger or over $2.5 million billed as our largest customers are now coming online and the business is rapidly growing. So during, you know, during when we were starting this thing, when we pivoted, people thought we were crazy. We starting this thing up. Are you going to be able to get customers? Are you going to be able to lock up enough customers? You are going to be able to do this. You are going to be able to do that. The team has done it. So during 2025, precisely our objectives are as follows. We are going to maximize three shifts. Even though it is a demonstration scale, we are going to run it full. You know, I will give you some insight. You know, our customers want those panels destroyed as fast as possible so they can get their certificates of destruction. We are doing them an environmental service. You know, and revenue from the demonstration facility will keep flowing. We are also going to secure that project-level funding. Right? Where Taryn this is a Comstock playbook. We are tearing the same page out that Fuels is using for a series A type financing, you know, so that we can scale up the next two large Nevada-based sites. We will complete our permitting on our first site in Silver Springs and land these equipments all by December. So fuels have much higher revenue, more and more high-profile customers and the permitting in place, once approved, versus scaling it all up. Let me turn to fuels. Our 2025 objective is closing on the series A by Q2. It is coming fast. This analogy of opening the gates for the horse race is absolutely what happened when we announced the first tranche of Marathon. We will complete the site selection for the first project, the first refinery in Oklahoma. In Q2 as well. It is coming quickly. Once selected, we will start integrating a local hexas-based fuel farm into that first refinery. We have already done extensive planning. With the HEXIS team on that. We will also secure sufficient project-level financing for that refinery. This is not the same thing as the series A. We fielded a lot of questions on this. The series A, to be clear, relieves the parent of having to fund fuels. It allows fuels to be funded on a standalone basis. And depending on how much we close it out at, for two to three years. That is a huge relief to the parent. In terms of uses of cash. But and that is necessary for fuels to stand alone for fuels to drive everything that it is doing. But it is not sufficient for building the facility. The project financing will allow us to build an emission that first facility. We have said repeatedly that is over $200 million for the first facility. Obviously, we got a great head start. Because the project funding certainly includes the $142 million bond allocation, that we received and we are planning to place for that specific facility. And we have multiple outstanding bankers bulge bracket, and the like. Working with us on this right now, full time, we also plan, as we said, a couple of times already, on integrating and expanding the new Madison facility with the Wausau facility to bring our pilot production capabilities up to two barrels a day. And lastly, we will most certainly be executing additional revenue-generating commercial agreements from both pure licensees like you have already seen internationally, 6% engineering fee, 6% royalty, 20% equity stakes. But there is more than that. We are not just building our own facilities. We are not just licensing our technologies and taking equity stakes in those things as well. But there is a hybrid which is resulting from more immediate integrations with existing companies. We are now being lobbied by pulp and paper mills. By sugarcane mills, and with our feedstock, Evolution we are even seeing a massive opportunity in corn ethanol. Think about it. Pure corn is much much more expensive. Than xano grass. Corn has a significantly higher carbon impact score than xanograss. Xanograss and or other woody biomasses as waste result in higher revenue for the ethanol even though it is molecularly identical. Simply because of the feedstock model that we are enabling. And if that was all it was, we could revolutionize corn ethanol. But that is not all it is because corn does not have the lignin content to be able to produce biolum and double and triple the yields. So if you are a corn ethanol producer listening to the call, you probably already know David Winston's number. Just give him a call. Our solutions in Feedstock can now quickly enhance those operations. We see these as additional and very large segments of the market. Well, Corrado, why have not you guys talked about this before? Because you would have to go chase Feedstock to enable these things. Hexus transforms the game of the feedstock model. So these are very large segments that we can now more readily integrate our solution into and monetize. All of this establishes a platform, an unprecedented platform for us to meet half, just half, of the US mandate. If we can reach half of the US mandate, from the renewable fuel standards for advanced biofuels, we would be producing 200 million barrels of fuel per year. That translates to over 8 billion gallons by 2035. 8 billion gallons is half a 16 billion gallon mandate. The US market does not burn 16 billion new gallons a year. It burns 240 billion gallons a year. So these mandates are a fraction of a fraction of the market. And if we just take half of that fraction of a fraction, the game is over. And remember, all of those numbers are just the United States. So we got a lot done in 2024. Was hard.
William McCarthy: Right.
Corrado De Gasperis: But in 2025, we are going to expect that we are going to get much much more done. Increase our lead in fuels business. Increase our lead in the metals markets. As our systems rapidly expand, both nationally and internationally. So for series A, for fuels, will be will be next it will be the next most tangible evidence that both unlocks tremendous value, as Billy said, demonstrates and unlocks tremendous value, and also positions the spin-out of a Comstock Fuels that creates two very valuable very high growth public companies. The valuation cap already realized
William McCarthy: is well over a double of what SBCC agreed to last summer. So, yeah, SBCC missed a huge opportunity there. And the August SBCC deal is dead. Please stop asking me about it. Why would we place money into fuels at a $300 million pre-money valuation when we are talking about a $700 million pre-money valuation which I am telling you is now the floor. I mean, we would never do fuels at a $300 million valuation. That is behind us. To be clear, we love the people at SBCC. That team has worked their butt off for us, and they have real capital behind them and they still remain very, very interested in being a capital partner with Comstock. We are clear on the value that has been positioned here. Okay? And we are going to do everything in our power because our job is not to be clear on what the value is, not to fantasize about what the value is, but deliver the value to where it is recognized by others. It is already being recognized by others. They are putting their money where their mouth is. They are putting it on paper. They are putting it in the bank. But our view here is that we are talking about tens of billions of dollars of value if not much higher, there is no question that opportunity is there. We are also clear that having two game-changing business opportunities addressing two massive global markets without the right capital and without the right funding. Results in this endless sell pressure on the stock. We do not we know. We know. We do not. But we are now positioned with the recently increased share capacity. Thank you again. From my heart, and with the series A in fuels so that we do not need to do any more of those convertible type bonds. Yes. You heard me say it. But that, to be clear again, is not conflicting with what Billy said. I am not saying we do not need capital. Or that we will not raise capital. What I am saying is the capital is coming from much more keen sources. In the series A, structured positively, with investors who agree to be part of the value creation, and that we have identified and that we are engaged with and who want to participate over the next five years, ten years, to achieve the goal. So once we spin off fuels, if you are a holder, you will have shares in both companies. We are now when I wrote the shareholder letter in January, we were strongly contemplating it. We were biased to it. We did not know all of the implications to it. We know now, and we are committed to doing that. And it will happen methodically. After the series A. When? I do not know yet. How? I do not know exactly yet. But I know that if you are a holder of LODE, you will be a holder of Comstock, you will be a holder of ViOLIO. What ratio? I do not know. What mechanism? I do not know. I know what the possibilities are. But there is a lot more work that we need to do. And quite frankly, we are not going to do it until we close the series A.
Corrado De Gasperis: So
William McCarthy: we have achieved we have achieved minimum sufficiency across an entire global supply chain. That sounds soft or small. But that is huge. It is a big, big thing that we have the chain from beginning to end globally. So now we just grow it. Now we just grow it. Trevor, I think probably there is the best place to stop. Now let us just go to questions. I am sure there is a lot of questions. We took extra time, but it was the whole year in review. And we did a lot.
Trevor Brucato: You certainly did, and congrats to you and the team. You know, fuels is essentially the, as one might say, the oil well that never stops producing and the urban mining operation, your metals business essentially being the silver mine that never stops producing. So kudos on what you guys have built and continue to build. Let us move into questions here. I know we have taken up a lot of time here, and we want to keep this tight for you. If you do have any questions, you can submit them in the Q&A module. So we will start off with, you know, there is obviously a lot of questions here on fuels, a lot of advances
Corrado De Gasperis: over the last six months.
Trevor Brucato: You know, fuel seems to have a rapid growth plan on building multiple facilities whether it is owned or licensed in the near term and through to 2035 that had been discussed in the past. How will this be possible from a human capacity perspective and capital perspective?
William McCarthy: Great question. So, you know, the US mandate alone we like we, you know, instead of talking about the number of facilities,
Corrado De Gasperis: we really prefer to talk about, you know, tonnages and barrels. Okay? So ultimately, to get to half of the US mandate, you are talking about 50 million tons of feedstock material. We have
William McCarthy: clear calculus on four times that amount of feedstock. Okay? So we have the feedstock. To do it. That is the most relevant question. That capacity, that capability, if you will, did not exist until our technology unblocked it. Okay? Number two, right, we are doing project-level financing and you are seeing capital pool to it, including high incentives from each state. Each state in each country that we are working with realizes that this is not, you know,
Corrado De Gasperis: type of thing, the governor's office of economic development,
William McCarthy: you know, let us reel in a new company. They look kind of cool. No. This changes the foundational ecosystem of the state. They become leaders in oil and gas, and at the same time, leaders in agriculture. Now that same thing applies to countries. Pakistan sees an ability to become energy independent. In the US, we see the ability to become energy dominant. Literally unleashing the beast. Okay? How do we do it? Capital pools at the subsidiary level. Frankly, after the first one, now you have 100% proof you are fully derisked. The risk on investors, right, are filthy rich. And then every other capital source wants to come and play because it has been derisked. Okay? Number one. Number two, the corn ethanol industry after building serial number one in the United States built 200 facilities in a seven to eight-year period. Okay? How did they do that? The answer is not by themselves. So the idea of partners, the idea of entity-level equity partners, the idea of strategic partners, and the idea of international licensees unleashes the capital and unleashes the human, I mean, the financial capital, and then we will unleash the human capital as well. So
Corrado De Gasperis: yeah, it is an endeavor. It is an endeavor. And then as we are converting corn to wood or we are
William McCarthy: bolting onto pulp and paper, you already have established supply chains there. Already have established permitting regimes there, and you already have established workforces there. So an incremental expansion is surely easier. Right? But they all produce more gallons. They all produce more barrels. Right? So we have a clear view on this, and it will evolve. It has already evolved from where do we pocket a facility where there is waste wood from a lumber bill or a pulp and paper mill, to now how do we aggregate and optimize like, you know, some giga power, you know, in converting farmlands or even more excitingly with HEXIS, using marginal, unproductive lands to do something that is equivalent to current farmlands. So it is all of the above, Trevor. Hopefully, that helps.
Trevor Brucato: It does. Thank you. And, you know, there seems to be some needed clarity here. Is the 20% you can also add in the 6% and 6%, regarding the economics associated with licensing the technology, the fuels technology, in order to obtain that, is there any sort of contingency as it relates to capital that
Corrado De Gasperis: Comstock
Trevor Brucato: needs to provide for each of these projects. Yeah. Good question. No.
William McCarthy: The international licenses where we get 6% engineering fees at the start of the site license to commissioning. And by the way, you know, if we have got five of those going on over the next three years, you are looking at $200 to $300 million of revenues just from engineering services for fuel.
Corrado De Gasperis: So even though we know our first facility is a few years off from actually producing fuel, except for Madison. Right? Then we have engineering fees in the meantime.
William McCarthy: But then we get royalties. But then we get that 20% equity stake not for 20% of the capital, they put 100% of the capital in. We are getting that 20% equity stake as the contribution of technology
Corrado De Gasperis: right, you know, right from day one. So I know it sounds
William McCarthy: it sounds robust. You know why? Because it is robust. You know why? Because the financials are robust. And our licensees
Corrado De Gasperis: are going to get
William McCarthy: extremely wealthy deploying this model, and we just want to share in that wealth.
Trevor Brucato: Thank you, Corrado. A lot of questions you guys have already addressed as it relates to the timing and specifics associated with the series A. With the spinout, so I do not think we need to touch on that. So everyone that is curious about that, if you do not mind going back to recording, which was Trevor, I Trevor, I would not mind just summarizing that.
William McCarthy: The series A is tens of millions of dollars going right into fuels. The project level, SPV level finance one, two hundred plus million dollars going below fuel. Right? Another subsidiary underneath, not diluting fuels, right, underneath. Some equity will come in there too. So it could be very reasonable that we have 80% of that facility but we are working through some tax equities that actually allow us to have a win-win for people who would benefit from those kinds of and then we retain high high ownership forevermore. And then third is the split which is literally spinning off a company that now has three legs to stand on, not two. Right? And, you know, becomes a separate standalone focus. We are doing that for many reasons. Right? But one of them is that the people that are investing directly into fuels like investing in fuel energy, and would not typically or by policy could not invest in, you know, LODE. So we get the best of both worlds is how we feel about it.
Trevor Brucato: Thanks, Corrado. Looking at the urban mining business, the metal side, you know, the plan right now is primarily throughout the US. Are there any plans, you know, the growth opportunities abroad for example, Australia?
William McCarthy: Great question. Great question. So we have been laser-focused on the southwest region of the United States. Right? And the rest of the country has pulled us out. Right? We got Florida. We got Pennsylvania. We got New Jersey. We have got at least seven or eight or nine states that we have received panels from, which validates a lot to us. Okay? In one case, it is because there really is not an alternative at all, you know, even though the volumes may be marginal or small. In another case, it is just the big ones who do not see anybody else that can handle the scale that they need. But we are being approached from multiple continents. Let me leave it that way. Right? Where they would love to see international joint ventures. They have assessed and believe that our technology is the fastest, is the most efficient, and critically is the best, easiest to scale. You know? So we will see how those proceed. That is early stage, you know, for Fortunato is in the market every single day, so he is just bumping into everything.
Trevor Brucato: Went up on time here. Any clarity on the $50 million shelf in the 10-K?
William McCarthy: So we always have a registered shelf on record. If you go back fifteen years, you will see that we have a registered shelf always on hand. Now if you are a public company, typically, the reason you are a public company is that you want efficient access to the capital market. Does not mean you need it. But you have it and you want it. If you really want it practically, then you should always have a registration statement on record, on shelf, if you will. They typically expire every three years, and we just replace them like, a month before they expire. If we use them all or if we do not use them, we always have one in place. So that is a constant.
Trevor Brucato: Appreciate it. So let us wrap it up there. I know there are a lot of questions, anything that we have not gotten to, we will do our best to get back to you by email or include in future events and in future press releases. So I appreciate your time, but I will put the ball back in your court here, Corrado, for any final comments.
William McCarthy: Yes. Absolutely. So, look, just in summary, you know, we are fully subordinating and supporting the businesses for, obviously, first, getting this series A project funding done and ultimately spinning off fuels. So then we end up with these two public companies for all of our shareholders. Both companies on a standalone basis have huge addressable markets as we just spoke about metals internationally, and will rapidly grow.
Corrado De Gasperis: So our next quarter
William McCarthy: call will be the end of April, could be potentially early May. And the AGM is scheduled now for May 22nd. We have a tremendous amount of work to do between now and then, you will be getting updates without question between now and then. And as Trevor said, we will look to circle back and answer any questions that you have sent in that we were not able to
Corrado De Gasperis: answer on this time,
William McCarthy: but we strongly, strongly appreciate all of our investors. Everything that we are doing is to unlock this value. We are freaking close, you know, and it is all coming. I can tell you the tone here is energized and excited. We are working our butts off.
Corrado De Gasperis: You know? And, and, and we are growing. So it is all coming. I would not trade where we are now, or anything. So thank you, everyone, and
William McCarthy: please stay tuned.
Trevor Brucato: You know, record numbers of attendance, you know, I think that speaks to the everything that you guys have been doing and the value that continues to be unlocked. So thanks, Corrado, William, and the Comstock team, and thanks to everyone for joining today. Please keep an eye out for the recording. We will be sending that out by email, and it is also going to be uploaded at Comstock Inc. or comstock.inc. If you have any questions that you have not submitted, or that have not been addressed, ir@comstockinc.com. Again, that is ir@comstockinc.com. That concludes today's event. Everyone, for your time.
William McCarthy: Outstanding. Thank you all.
Corrado De Gasperis: Thank you.